Operator: Good afternoon, and welcome to AmpliTech Group's First Quarter 2025 Investor Update Call. Today's call will cover the company's financial results and strategic progress for the quarter ended March 31st, 2025. All participants will be in listen-only mode during the presentation. A Q&A session will follow management's remarks. This call is being recorded and a replay will be made available on AmpliTech's Investor Relations webpage. I'll now turn the call over to Mr. Jorge Flores, Chief Operating Officer.
Jorge Flores: Thank you and welcome everyone. We appreciate you joining today's call to hear updates on AmpliTech's operational and financial progress as well as our growth initiatives. Joining me are Fawad Maqbool, our Founder and CEO and Louisa Sanfratello, our CFO. After our prepared remarks, we will open the floor for investor questions. An archived replay of today's call will be posted to the Investor Relations section of the AmpliTech's corporate website. Please note that today's discussion may contain forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These statements involve risks and uncertainties that could cause Orchard's results to differ materially. Please refer to our filings with the SEC for a full list of risk factors. We undertake no obligation to update these statements after today's call. With that, I would like to turn the call over to our CEO, Mr. Fawad Maqbool.
Fawad Maqbool: Thank you, Jorge. Thank you all for joining us today. We're pleased to report continued progress across all our divisions in Q1 2025. While we reported a net loss of $1.8 million this quarter, driven by increased operational spending in our 5G division and R&D efforts, I'd like to emphasize that these are strategic investments. They directly support the certification, scaling and deployment of our next generation ORAN 5G platforms. And we're confident that they'll position AmpliTech for long-term success in high growth markets. With that, I'll go to the Q1 2025 highlights and strategic progress. The revenue of $3.6 million, up 57% year-over-year, our strongest quarter since Q4 fiscal year 2023. Gross profit of $1.1 million, a record backlog of $19.6 million as of April 30th, driven by strong bookings. Cash and receivables of $19.1 million, $24.6 million dollars of working capital and zero debt. Inventory of over $7 million to support near-term deliveries and demand rebound across both the LNA and semiconductor distribution division. Looking at the growth outlook and the fiscal year 2025 guidance. Following a challenging 2024, we're pleased to see strong demand recovery. Semiconductor and LNA orders are accelerating. AmpliTech has already booked more sales in the first four months than any recorded in all of 2024. Our 5G division leads the charge with over $12 million in firm orders already booked from $118 million LOI pipeline. We now forecast fiscal year 2025 revenue of nearly $21 million almost more than double that of the prior fiscal year. We expect this to be the trend going into fiscal year 2026. Our key strategic achievements in Q1, we secured CE, FCC and REACH certifications for our ORAN 5G radios enabling global deployments. We expanded proprietary LNB product line with the next generation satellite solutions based on AmpliTech's low noise IP foundation for which we received three patents this year already. Based on quoting activity and demand trends, LNB revenues projected to match LNA sales within 12 months. We boosted our visibility through Mobile World Congress, IEEE, MILCOM and LEAP 2026 trade shows and we see emerging opportunities with AI. We're partnering with leading AI native wireless companies to develop technologies for spectrum sensing, network optimization and digital twin applications using our ORAN platforms. Our certified ORAN 5G radios are already being deployed globally. Over $12 million of our $118 million in signed LOIs will be delivered to customers this year. So the LOIs are very meaningful for the company. We expect to continue delivering on these LOIs well into fiscal year 2026. Shipments are being made to a Tier one MNO in North America. So this validates our ability to service and provide high level equipment in live environments. We're going to address the tariff resilience and adaptability, since that's basically a question by many, many investors. Thanks to our sourcing strategy and operational foresight, we've successfully managed tariff-related risks. We are prepared to adjust pricing even industry trends shift costs and customers, while maintaining the value and efficiency. As mentioned earlier, we have ample inventory to avoid any immediate effects of the new tariff policies, and have not seen a noticeable effect on our supply chain and business at this point in time. In a closing perspective, AmpliTech is in a position of strength, record backlog, zero debt, certified global products and a growing IT portfolio. With a strong pipeline and execution in place, we expect to deliver continued revenue growth and value creation in 2025 and beyond. That's pretty much in a nutshell. Thank you for your continuous trust and support. Operator, please open the call for Q&A.
Operator: Thank you. [Operator Instructions] Our first question will come from Jack Vander Aarde with Maxim Group. You may now go ahead.
Jack Vander Aarde: Okay, great. Great to hear all the positive momentum. Congrats on that, especially with the backlog, the strong outlook, the two LOIs and the FCC certification. Great to see you. Fawad, it's been a long time coming here. I just want to ask you some more color on the LOIs you've secured that you publicly announced. In the acquisition of the ORAN assets, I believe in Canada as well that are kind of tied to that. Can you maybe just touch on the acquisition of those assets? Has that closed? And sort of how does -- what does that do for you? How do we connect the dots back to the LOIs you do have and the purchase orders you've received? Thanks.
Fawad Maqbool: Sure, Jack. Yes, I'd be glad to answer that question. These LOIs that we announced were based on the relationships that we're having in discussions with large MNOs currently. And the idea of that was to acquire assets. By the way, it's closed deal. It's a closed deal. We acquired the assets that we needed to and we're basically positioning the company so that we can become a viable supplier to a very large MNO, that is looking for a complete push into ORAN technology. So this is a trend that's going around globally now that ORAN is becoming the acceptable way of growth for all of these MNOs, and it gives them flexibility to go from a RAN-based environment, which is locked them into other suppliers like Nokia and Ericsson and Fujitsu. Those basically offer a one shot solution to them. They have no flexibility. They are stuck with them forever and they have to always go to them for any changes in technology. We're offering a basically a plug-and-play type of solution with ORAN. The whole idea is that we can replace their existing infrastructure, whether it be for replacing antiquated architecture or whether it's because, it's Chinese architecture. Any reason there is, we're able to come in and offer a flexible solution so that now MNO has a choice to go and change the software partners or their actual hardware partners, even though we provide everything from top to bottom for these companies. So, it really is meaningful. It's a trend that's going up. You'll find that the ORAN growth is over 30% or 40% combined annual growth and the RAN growth, which is existing technology is flat and actually decreasing. So we believe, we're in the right positioning. We're a couple of years, a few years ahead of all the competitors. They don't have the kinds of products that we have. And making this deal and completing it and acquiring the assets that we need, it actually adds to the IP that we have right now. So it basically goes right to our bottom-line assets and also continued IP development that we're doing for all the other MNOs in private 5Gs.
Jack Vander Aarde: Okay, great. I have probably at least two more questions, Fawad. Do you have line of sight into the remaining, let's call it, I guess, over $100 million left between those two LOIs, which I think both are -- they're kind of like three year LOI agreements. You've received over $12 million between them. Have you -- give line of sight into when those how those $100 million will come in? If it will come in, how that would be kind of scattered? Just curious to know like how much visibility do you have there?
Fawad Maqbool: We haven't received $12 million yet. We have received the orders. We will deliver $12 million in this year. Is that my right, Jorge?
Jorge Flores: Yes
Fawad Maqbool: We received purchase orders for $12 million, that's already in the backlog, right? For 2026 and 2027, we do expect that it's going to be scaling up with our best year 2026 with the higher number of radios that we need to deliver. But 2026 is definitely going to be a great year for us, when it comes to hundreds of deliveries for these radios. The bulk of them will be in 2026.
Jack Vander Aarde: That was what I was going to follow-up with. So it sounds like you're expecting, you've already received $12 million of orders. You still have to ship those orders, but you received $12 million. And then it sounds like you're expecting that to significantly ramp in 2026. And then, I guess then there'll be even more coming in 2027 from these two LOIs alone. Is that a fair way to think about it?
Fawad Maqbool: Yes. And the programs we believe they have legs. For example, in one of them with the EUR 78 million that we negotiated already with the end user. Right now, the first negotiation that we had was for three years program, but we are following very closely on their program with their end user as well. And we have seen information that the program is extending through 2030. So, it's expanding as we speak.
Jack Vander Aarde: Okay. That's fantastic to hear. I look forward to learning more about that. And then, Fawad, maybe there's so much to chew on here, but I guess I'm trying to structure some of the more top of mind thoughts here. So you obviously have one formal MNO relationship in Canada that you have announced publicly. Can you maybe speak to other potential discussions you're having or looking to have with other MNOs globally in North America, wherever? Are you gaining traction in any other discussions with other MNOs? Are they knocking on your doors? Did they catch word of this pretty large LOI contract you recently signed? Is this bringing more MNOs knocking on AmpliTech's door? Thanks.
Fawad Maqbool: Yes. Actually, even before this was done, even before we did this MNO deal, we were talking to several MNOs in Europe and in Southeast Asia and Far East. So we are constantly talking with them, but this achievement obviously will make our chances much better to close deals with all these other MNOs. It gives us working relationship and it allows them to understand that, we can receive these large orders and deliver them. I mean, we can say that, we've already delivered, I guess, three quarters to a half of what we were supposed to deliver this year to the first MNO already. So, we're really well into this cycle and it shows that, we can deliver it and that was the whole question. A company like us, the new company, but will we be able to service these MNOs in the proper way and that's what we're showing now. So, yes, we do expect all these other MNOs to catch wind of this and they already have actually and they've approached us, and we're going to continue to build on that. So we believe we will have more bookings.
Jack Vander Aarde: Excellent. Okay. And then, it looks like the balance sheet is very healthy, very strong. So, I'm not going to ask questions about that. No debt, you have lots of cash. That's not an issue, I guess in terms of satisfying any of these orders. My final kind of question, I guess, would be, just if you could touch on the FCC certification, maybe help us understand the importance of achieving that milestone? What does that enable you to do that you haven't been able to do in the past? And that's it. Thanks.
Fawad Maqbool: Yes. So FCC certificate is very important because it allows, it gives AmpliTech the entity and its own identity to be able to radiate in the spaces that the government allows in The U.S. So, it's really purely a U.S. certification, but it's very important for us because we're a U.S. manufacturer and we are trying to gain The U.S. business not just globally, but U.S. and the world. So, it's important to get that certification. At the same time, I'll add that, we are also working on getting certifications for other countries, other regions, so that we can provide this technology to all of the other countries as well. So, we are actively working that way. But FCC is important for U.S. really and reaching that means that we have credibility and our equipment is actually tested. It's tested and to a certain standard and when it passes, that's when we get the FCC certification. Now we can radiate and provide our solutions anywhere in the country.
Jack Vander Aarde: Excellent. Congrats again on the momentum. It's great to see you guys really executing. I look forward to tracking the story. Thanks.
Operator: [Operator Instructions] Our next question will come from Vishal Mishra with Bard Associates. You may now go ahead.
Vishal Mishra: Hi, guys. Great results and great quarter. Congratulations. It seems to me, the company is more becoming the third line of business, which is 5G ORAN radio with $12 million out of $21 million from these 5G ORAN radios. Would you have any sort of guidelines or forecast of the margin, especially for the new business, and how much will it fall to bottom line? And it seems like, if past margins hold, you will reach breakeven, GAAP earnings by the end of the year. Is that -- if you can provide some color on that?
Fawad Maqbool: That's a good assumption. I mean, basically, we have alluded to the fact that, we are transforming the company to follow for the 5Gs trend and that's important for us. I think it will be the largest growth for the company and that's why we're basically positioning the other groups to be basically supporting and making products to grow this whole 5Gs division. So, it's a chain reaction. The 5Gs radios, if we sell thousands of radios, we will generate -- since we're putting our own Mimic chips inside them to make them better than our competitors, our own low noise amplifier technology, our own mimic division has our own chips and front-end solutions for these radios. So these radios will have our technology that makes it better and that makes us even better than our competitors. Even if they have existing radios, they don't have RLNAs inside them. They give them the better coverage, the throughput, the fidelity of the signal. So therefore, the idea and strategy is that the other groups will feed this 5Gs division. So as this grows, all the other groups will grow, because the chips will be required -- hundreds of thousands of chips will be required to go into these radios and then the packaging division, which is our distribution division in Silicon Valley, that division will provide the packaging for all these mimics and chips that are developed by our Texas division. So therefore, all the way down the line, the revenues will grow and we will be making our own chips that will be in these radios. So therefore, as I mentioned many times before, it's a symbiotic feed symbiotic relationship between all our divisions.
Vishal Mishra: That is great. You've been speaking about 5G, and you're putting all the pieces together now. This is fantastic. Are these MNOs who seem to be the biggest customers, do they also sign LOIs with, whoever else is the 5G ORAN radio provider in addition to you? How is the relationship amongst of these MNOs with the suppliers of 5G ORAN radios? How does it look like or are you the only suppliers?
Fawad Maqbool: No. They do sign LOIs in general for with companies. And I'm sure they have LOIs for other products with other companies. But this is basically just catered to the AmpliTech 5G division and we were able to procure these, because of the uniqueness of the radio solutions that we provided. So in the past, we have not really done any LOIs. We have not announced LOIs. But this year, we feel that it's very important because it's a main ingredient and validator for our business and we have to have that in place. But we also went one step further and actually delivering on the LOIs and not just mentioning them that we have an LOI. So these LOIs, if they were not serious, we would not be mentioning them at all.
Vishal Mishra: And is it mostly -- what I'm hearing is, technology of your radios, these MNO customers, like, better than competitors, or is there something also, like, you are US-based and the other competitors are, I don't know, they're broad. How is that differentiating you if at all?
Fawad Maqbool: It's a combination of things. Because we are a U.S., company making these radios, there are no other U.S. companies making these kind of radios. So it's important because, as I mentioned before, it's ORAN technology. We are pretty much a leader now in ORAN technology being actually deployed. There is no other company that has this large deployments or this large orders for ORAN business. So since the whole world is going to be moving towards this, it's a good position for us to be in, as being a qualified supplier where there are not that many players in it.
Vishal Mishra: So going forward and then you have such a large pipeline, that seems like your existing businesses will be smaller, your ORAN business will be larger going forward.
Fawad Maqbool: Not necessarily. I mean, as I mentioned before, if we have a demand that's being created by the radios, we are going to fulfill that demand by providing our own products that go into these radios, and it's going to grow the mimic chip business as well and it's going to grow the Silicon Valley business to provide the packages. So they're all growing. We're all scaling it up. Why would we pay in our own designs and our own radios? Why would we pay Qorvo and Macom or other companies for these chips when we can make them ourselves.
Operator: That concludes the Q&A. I'll now hand the call over back to Mr. Fawad Maqbool for closing remarks.
Fawad Maqbool: Thank you. That concludes the Q&A. So thank you very much operator and thank you to all who joined us today to hear about the progress we've made and the plan we have to further our company's mission of providing the communication systems of tomorrow, today. We look forward to speaking with you again during our Q2 2025 update in August. Please reach out to Investor Relations for follow-up or one-on-one meetings. Stay safe and thank you for being part of the AmpliTech journey.
Operator: That concludes today's conference call. Thank you and have a great day.